Operator: Good day, and welcome to the Eurocell Half Year Results Presentation. [Operator Instructions] And finally, I would like to advise all participants that this call is being recorded. Thank you. I'd like to welcome Darren Waters, CEO, to begin the conference. Darren, over to you.
Darren Waters: Thank you very much. Yes, alongside me this morning, obviously, Michael Scott, CFO. As part of our presentation this morning, we'll update you on our strategic initiatives as well as the progress we have made with the Alunet business since the acquisition in March. So at a headline level, against a tough market backdrop, we delivered a resilient performance with adjusted operating profit of 9% versus half 1 2024, on revenues that were up 10%, all driven by Alunet, which has performed very well during the first 4 months under our ownership. Although we've seen a modest uptick in new build activity, demand in our core RMI market remains very subdued, and the fenestration sector is being hit hard by a lack of consumer confidence, which is reducing spend on home improvements. We're, therefore, continuing to focus on driving operational efficiencies and cost reduction opportunities. For example, in quarter 1, we carried out a restructure of our Branch Network, which is expected to generate annualized savings of GBP 2 million. We're also continuing to invest in the delivery of our 5-year strategy with good progress on new branch openings and the door and window initiative that we kicked off in 2024. We're also seeing -- sorry, following through on our commitment to improve shareholder returns through further share buybacks and an increase in the ordinary dividend with returns of GBP 7.3 million announced so far this year. However, with trading conditions remaining challenging, we are revising our full year outlook to reflect recent trading activity in Q3, which is trailing behind our previous forecast. And I'm now going to hand over to Michael, who will run through our financial performance in more detail.
Michael Scott: Thanks, Darren. So I'll start by going through the financial highlights on Page 5. With subdued trading conditions, underlying sales volumes were below H1 2024. However, flat organic revenues do include further progress with our strategic initiatives and total Group sales were up 10%, bolstered by the acquisition of Alunet in March. Adjusted operating profit increased by 9% compared to H1 '24. This reflects a strong contribution from Alunet and effective cost control, partially offset by lower organic sales volumes and labor cost inflation. At the same time, we've also progressed further targeted investments to maintain momentum with our strategic initiatives. Adjusted profit before tax down 3% includes increased depreciation and finance costs following the acquisition. And adjusted earnings per share up 7%, reflect a lower share count following our buyback program. Cash generation remains good despite being down against the strong '24, which included a benefit in working capital from falling raw material prices. Net debt at GBP 29 million reflects the impact of funding the Alunet acquisition through our RCF. And with leverage of 0.9x, we have good headroom on our debt facility. Finally, on this slide, so far this year, we've announced shareholder returns of GBP 7.3 million, including the interim dividend of 2.3p per share, up 5% on H1 '24 and our current GBP 5 million share buyback, which is expected to complete in the second half. Thereafter, we intend to continue share buybacks, subject to always maintaining a strong financial position. Turning to the full P&L on Page 6. I'll come on to the drivers of our sales performance and the other components of EBITDA in a moment. But first, just looking below that line. Depreciation and amortization was GBP 13.1 million, up slightly on H1 '24. And with our CapEx program, lease renewals and Alunet, we expect D&A for the full year to be in the region of GBP 27 million. And just to note that I've summarized all of our technical financial guidance at the end. Finance costs were GBP 2.3 million, up GBP 1 million on H1 '24, reflecting the utilization of our debt facilities to fund the acquisition. The tax rate for H1 was approximately 24%, which is slightly lower than the standard rate due to the benefit of patent box relief. Looking down the P&L, basic earnings per share was 6.0p, up 7% on H1 '24 and dividends of 2.3p, I've already covered. Moving to the right of the slide. The first half non-underlying charge of GBP 4 million includes GBP 2.2 million of implementation costs for our ERP replacement project, GBP 1.4 million of termination costs in respect of restructuring and GBP 0.4 million of acquisition due diligence costs. Later in the presentation, I'll pick up the ERP systems replacement project and our cost reduction initiatives, which include restructuring. Lastly, on this slide, it's worth noting that excluding Alunet, our organic sales, gross margin percentage and overheads are all flat with H1 2024, demonstrating resilience in the face of very difficult trading conditions and ongoing cost inflation. Moving on to our sales performance on Page 7. Revenues were up 10% in H1, or flat excluding Alunet, with organic volumes 2% lower. As you know, challenging macroeconomic conditions and weak consumer confidence have impacted activity levels in our key markets. Profile sales up 1%, with volumes 2% lower, reflects reduced RMI activity through our trade fabricators, partially offset by a modest improvement in new build housing. Overall, in the Branch Network, sales were down 1%, with volumes 2% lower. This includes underlying RMI volumes down 5%, and we have continued to experience competitive pressure on selling prices in the Branch Network. However, set against that, we've made further progress with our strategic initiatives, up GBP 4.4 million in the first half, including windows and doors up 8% and e-commerce activity up 41%, plus sales from new branches of GBP 0.9 million. Alunet is performing very well with post-acquisition growth of 36% over the corresponding period in 2024, driven by market share gains. And Darren will cover Alunet's performance and the other strategic initiatives later in the presentation. On to adjusted operating profit on Page 8. Profit of GBP 10.1 million represents an increase of 9% versus H1 2024. Moving left to right across the chart, the adverse volume impact of GBP 1.1 million reflects organic sales down 2%. The margin benefit of GBP 1.5 million has several components. Whilst revenues include the impact of selling price increases implemented to offset overhead cost inflation, increased competition for limited demand has put pressure on selling prices in the Branch Network. However, we continue to proactively manage our gross margin and cost base and have delivered stable raw material recycling feedstock and electricity prices this year. Alunet has made a strong contribution with post-acquisition operating profit of GBP 1.6 million, up GBP 1.1 million on the corresponding period in 2024. Moving along the chart, labor inflation of GBP [2.0] million includes the annualization of our April '24 pay award of 4% and our '25 award of 2%, plus increases to Employers' NI and the National Living Wage effective from April this year, which have an annualized cost of approximately GBP 3 million. Property costs were up GBP 1.7 million in the first half, including the impact of rent reviews at several operational sites. And variable labor costs are down this year with lower bonus and variable pay, partly offset by higher share-based payment charges. On cost reduction, our previously announced restructuring programs are expected to deliver annualized savings of at least GBP 4 million, most of which should be realized in 2025. And I'll pick up those when I talk about business effectiveness later in the presentation. The other caption to the right includes further targeted investment to maintain momentum in our strategic initiatives. This includes the short-term profit drive of GBP 0.7 million from new branches, where the opening program will create long-term profit growth. In summary, operating profit is up due to Alunet and effective cost control despite weaker underlying volumes and ongoing cost inflation. Moving on to CapEx on Page 9. Investment of GBP 6.6 million in H1 includes GBP 2.4 million new Branch Network, being a combination of new openings, refurbishments and relocations, with the balance primarily maintenance CapEx. Our guidance for 2025 is for total CapEx, including Alunet, of approximately GBP 13 million. This is below our previous guidance of GBP 15 million, reflecting the focus on careful cash flow management. However, we continue to invest to drive the 5-year plan. The guidance includes GBP 3 million for strategic initiatives, such as new branches, refurbishments and relocations, plus racking for windows and doors. There's also GBP 3 million for facilities, welfare and safety improvements across our property estate, and GBP 2 million to develop our IT infrastructure, including ongoing cyber defenses, with the remainder largely maintenance CapEx. As noted earlier, implementation costs for cloud-based IT solutions are charged to the P&L rather than capitalized. Our ERP system replacement falls into this category with GBP 2.2 million charged to the P&L as a non-underlying item in the first half, taking the total cost incurred on the project to date to GBP 4.4 million. We estimate non-underlying costs on the ERP project will be approximately GBP 6 million for the full year, and I'll provide further detail on the project itself later in the presentation. Coming back to CapEx, the lower chart illustrates that we have manufacturing capacity in place, well ahead of demand, which is an important component of being well placed to deliver on our strategy. Turning to the full cash flow on Page 10, which sets out the components of an increase in net debt of GBP 25.9 million in the first half on a pre-IFRS 16 basis. This follows the acquisition of Alunet in March, which is funded from our debt facility. Moving left to right across the chart, cash generation has continued to be good. An outflow from working capital of GBP 0.9 million in H1 follows a significant inflow across the 2023-'24 period, driven by stock reduction and includes June '25 stock and debtor days in line with the June '24 comparatives. Looking ahead to the full year, we're guiding to an outflow of approximately GBP 3 million, including the impact of Alunet's growth. This is also better than our previous guidance of a GBP 6 million outflow with our continued focus on efficient working capital management. Non-underlying costs resulted in an outflow of GBP 3.8 million and tax payments of GBP 1.3 million are offset by share-based payments and other non-cash items. Cash consideration for Alunet, net of cash acquired is GBP 20.2 million, and CapEx payments of GBP 7 million include the asset additions covered earlier, plus a small reduction in our capital creditor. After financing charges of GBP 0.9 million, share buybacks of GBP 3 million and dividends paid of GBP 3.9 million, this results in pre-IFRS 16 net debt of GBP 29 million at the end of June. IFRS 16 adds GBP 70 million to debt, which you can see in the reconciliation table, is up GBP 10 million compared to December '24. This reflects the net impact of leases acquired with Alunet, branch openings and lease renewals, a total of GBP 19 million, less cash payments on leases, which are accounted for within net cash from operating activities on the left of the chart. Overall, this leaves us with a strong balance sheet and liquidity position, with leverage at 0.9x pre-IFRS 16 EBITDA and good headroom on our GBP 75 million facility, thereby providing security, flexibility and options for the future. Turning to capital allocation on Slide 11. We will continue to drive shareholder returns through a combination of an increasing ordinary dividend and share buyback. Moving left to right across the chart, our approach to capital allocation is to prioritize organic investment in line with our strategic plan, supporting initiatives to drive profitable growth in the Branch Network, continuous improvement in operations and an upgrade to our IT system. On dividends, our policy recognizes the importance of the ordinary dividend. We believe an increasing dividend is right for this business, providing a predictable income stream for our investors with this year's interim up 5% on H1 '24. The Board has also taken the decision that employee incentivization by equity should be through shares acquired rather than issued. And our target is to hold sufficient treasury shares to satisfy employee share options expected to vest over the next 2 years. Moving across the chart, we believe Alunet demonstrates our disciplined approach to acquisitions with a very clear strategic fit and a compelling financial justification. Thereafter, we intend to enhance shareholder returns through share buybacks. The GBP 15 million buyback launched in January ' 24 was completed earlier this year, and the additional GBP 5 million buyback announced in March '25 is expected to complete in the second half. Looking further forward, we intend to continue the buybacks, subject always to maintaining a strong financial position with net debt not to exceed 1x EBITDA unless there was a clear short-term deleveraging plan in place. So to sum up on Page 12, a resilient financial performance with adjusted operating profit up 9% in the first half. We continue to focus on cost reduction and cash flow management and cash conversion remains good. The business is well positioned to successfully deliver our strategy with well-invested facilities and available operating capacity. We have a strong balance sheet and good liquidity, the shareholder return of GBP 7.3 million announced so far this year, and we intend to continue the share buybacks in the future. With trading conditions remaining subdued and sales through the summer falling behind our forecast, our full year outlook is now below previous expectations, but we are convinced that the medium- and longer-term prospects for our sector remain attractive. Finally, to the right of the slide, there is a summary of our technical financial guidance, which I hope is helpful. And with that, back to Darren to update you on progress with our strategy.
Darren Waters: Thanks, Michael. Well, look, I think you're all familiar with our 5-year strategic ambition, which is summarized in the Eurocell house. That's GBP 500 million in revenue, GBP 50 million of operating profit with a 10% operating margin. And I'm pleased to say we're making good progress with all of our initiatives. I'm going to start with Alunet and just really a reminder of the background to this acquisition that we announced back in March. The rationale was primarily driven by the need for us to gain a foothold in aluminum, which now accounts for 36% of the residential fenestration market by value. However, as part of the deal, we acquired 2 important product adjacencies, solid timber core entrance -- doors and aluminum garage doors, which are both highly complementary to our home improvement proposition. We valued these businesses at GBP 29 million, representing a 6.5x multiple of Alunet's 2024 EBITDA, with an initial payment of GBP 22 million. The performance of the Alunet businesses under our ownership has been very encouraging and in line with our acquisition model. Sales in the first 4 months, across all 3 product categories, were up significantly versus the same period in 2024. On aluminum profile, sales increased by 30%, driven by market share gains with 10 Eurocell fabricators committing to switch to the Alunet, Aluna profile. The launch of the new Aluna+ Window Systems and roof lantern provides a full residential solution to fabricators and installers with fewer components and faster fabrication and installation times. Alunet fabricators are also being recruited onto our door and window initiative, which has already generated GBP 1.2 million worth of orders through the branches. Comp Door sales are up 56% with the brand really starting to build a strong reputation in the market for innovation, quality and service. The new Sleekskin door launched earlier this year is already proving to be popular and now accounts for 15% of Comp Door sales. Garage Door sales are up 20% with the new [premier line] sectional door gaining share with installers. So a strong start, and we're confident that this business will continue to take share as we win and onboard more customers. Now turning to the Branch Network. And just a reminder again of the ambition behind this initiative, which is to grow the network to 250 sites by 2028 as well as relocating a number of branches to better locations as leases expire. If you look at what we've done over the last 9 months, we've added 9 new branches and carried out 6 relocations. All the new branches are in the Southeast, where we were underrepresented, and these are trading in line with expectations. The relocations, I'm pleased to say, are all performing better than the previous sites. At our new Croydon branch, we are trialing an alternative trade counter format, which based on early evidence will become the blueprint for all future openings. And in June, we launched our new Power Up rewards scheme. This scheme gives members a range of benefits, including savings on big brands and points on every pound that is spent through the branches. It also allows us to tailor promotions with different customer types with extra points on specific product categories to drive improved share of wallet. To date, we've now signed up 4,300 customers with an encouraging sales uplift across this cohort of early adopters. On our door and window initiative, we completed the rollout across all of our branches in June. Door and window sales in the first half are up 8% across the network in a market that is down, that's versus last year. However, I think more importantly, against the 2023 baseline, that's the year, before we kicked off this initiative, we're up 17% in the first half. And I'm pleased to say that differential has increased in the last 2 months to 25%. So whilst progress has been slightly slower than we originally expected, there are some regions who are performing very strongly like Yorkshire, where we're up 49% against 2023. And we, therefore, remain confident in this initiative and our ability to deliver on our strategic target as we spread best practice across the network and achieve consistent levels of performance across all regions. Quote conversion remains high at 44%, which I'm sure you'll agree is very, very strong. Next, in terms of digital, well, digital sales continue to accelerate with half 1 sales up 41% on 2024, with the bulk of this coming from new accounts, 65% of which are trade customers, driven by a 39% increase in organic traffic. 45% of our sales are Click & Collect, which is a 1-hour service that we introduced last year, and return on sales remains very healthy at 34%, and we will, therefore, continue to invest in developing this platform. On Extended Living, Garden Rooms and Extension sales are up 50%, but our return on sales is still below our 10% target due to the high cost of lead generation and sales overhead. We're therefore exploring a variety of options to improve this product category, including raising selling prices. On people first, we're continuing to focus on improving the culture at Eurocell by improving safety and raising employee engagement. Our new employee forum launches this month, with 60 representatives elected across the whole business. Our new careers website and applicant tracking system has resulted in a significant increase in direct hires, which are now running at 90%. While safety performance has slipped in the first half, we're still 40% better than we were in 2023, and we remain focused on getting to world-class. Now I'm going to hand back to Michael. He will cover off business effectiveness and ESG leadership.
Michael Scott: Thanks, Darren. With business effectiveness, we're embedding continuous improvement philosophy, which is highlighting opportunities for improved efficiency. Our previously announced cost reduction initiatives should deliver GBP 4 million of annualized savings. They include restructuring the Branch Network by removing a layer of regional management and reducing the size of the sales force and in parallel, upskilling branch managers to drive greater ownership of branch performance. The restructuring was completed at the end of Q1 and will generate annualized savings of GBP 2 million. We've also identified further overhead cost reductions of GBP 2 million that will be realized in 2025. Looking forward, we're targeting more cost savings and working on initiatives in operations such as scrap reduction and process innovation to drive material efficiency and yield improvements. We're also looking at improved labor utilization and better use of our operational footprint. As you know, under the business effectiveness strategic pillar, we're also replacing our ERP systems. The first part of this is a new trade counter system in the Branch Network. Intact IQ will transform the way we interact and transact with our customers in the branches, including simplified processes and the use of electronic point-of-sale functionality. The second part is a new ERP system to support all other functions of the business. With [IFS], the objective is to improve efficiency via the automation and standardization of business processes and deliver better management information for faster decision-making. The project is progressing on time and to budget with the next 9 months critical to its overall success. As previously reported, we estimate total costs will be approximately GBP 10 million over the 2024 to '26 period, with GBP 4.4 million incurred to date, and we expect transition will take place around mid-2026. We'll continue to manage risk on this very [carefully] with Board oversight and a highly experienced IT director in place. Moving on to ESG on Page 25, where we want to be recognized as a truly responsible company. Eurocell is already a leader in PVC recycling, preventing 3 million waste windows being sent to landfill every year. We're working with a specialist consultancy on the development of our ESG objectives, data collection and disclosures. We're targeting net zero carbon emissions by 2045. So far this year, our targets have been validated by SBTi, and we published our net zero transition plan. We've also received a CDP, Climate Disclosure Rating, of B at first submission and an MSCI AA rating. The transition plan includes a near-term target to reduce Scope 1 and 2 emissions by 67% by 2034, primarily through a transition to 100% renewable energy, the conversion of our commercial fleet to HVO, plus moving company cars and vans to EVs. Medium-term Scope 3 actions include optimizing the use of recycled material in production and over the longer term, engaging with our suppliers on their own science-based targets, which we hope will support switching to a commercially viable low-carbon alternative to traditional PVC resin, progressively over time. Finally, we've also made progress on the other initiatives we have to drive carbon reduction, including further investment in on-site electricity generation through the installation of solar panels at our largest operating facilities and using lower carbon PVC resins in the production of our Modus profile starting this year. With that, back to Darren to wrap up.
Darren Waters: Thanks, Michael. So in summary, a resilient performance in the first half despite the market headwinds. The real positive, of course, has been Alunet, where revenues are up 36% versus 2024. And as we navigate weak end markets, we will continue to focus on self-help through effective cost management and operational efficiencies, to further optimize the business and mitigate against an anticipated delayed market recovery. We remain committed to driving shareholder returns and therefore, expect to continue with our program of share buybacks after completing our current scheme in the second half. In the near term, we're not anticipating any seasonal help from the market, particularly in RMI, and we therefore expect our full year results to come in below previous expectations. However, medium- and long-term growth prospects for the U.K. construction market remain attractive, plus we have good momentum on all of our strategic initiatives, including Alunet, which we expect to continue to outperform. The Group is, therefore, well positioned to drive sustainable growth in shareholder value. And with that, that concludes our presentation.
Operator: [Operator Instructions] And your first question comes from the line of Edward Prest from Berenberg.
Edward Hugh Prest: A couple of questions from both Rob and me. By a couple, I mean 3. Firstly, on competitor behavior, how are your competitors responding to tough trading conditions? I know you said pricing was competitive, but I was wondering if any capacity being taken out or if there are anything that might have a longer-term impact on the market? Secondly, given the share buyback progression, is there any interest from you guys in terms of M&A going forward? Or is that your primary use of capital, is going to be on the buyback? And then thirdly, Branch Network. You talk about growth, and you've been mentioning the store -- the branches that you've been opening. Are there going to be any branch closures going forward in terms of looking at the portfolio?
Darren Waters: Thank you. Well, in terms of competitive response -- no, I mean, I think the market has been fairly stable. There's certainly been no further consolidation, although obviously, we're seeing a lot of activity in M&A with the most recent announcement regarding VEKA and Epwin. There's also been a couple of acquisitions by Allegion in the hardware sector, [PRISM Secure] and UAP. So -- but what we are seeing is, we've seen a couple of fabricators. I'm pleased to say, not supplied by us, but we have seen some fabricators disappear. So that's further downstream. But in terms of extrusion, the market is pretty stable as it is for the Branch Network. You asked the question about share buyback. I mean, I think in terms of M&A, like I said, there is quite a lot of activity. And from time to time, we do get past opportunities. But I think we've always said that in the current trading environment, we prefer to keep our leverage at around 1x EBITDA. We should end the year slightly below that. So I would say, right now, unless it was a compelling opportunity, we're quite happy where we are. Michael, I -- you'd agree with that?
Michael Scott: Yes. And I think Alunet has been a big acquisition for us in historical terms. And I think both the Board and shareholders would want to see us very clearly demonstrating we're delivering value from that before we go again.
Darren Waters: Yes. And I think in terms of the Branch Network, look, we're always keeping that under review, particularly those branches that may be underperforming. Right now, that's a very, very small number. Most of the branches -- or the vast majority of branches are profitable. But look, I wouldn't rule that out. If -- we have an example, and we have done that. I can think of one up in Cumbria, which we took out. And so I wouldn't rule it out. But as you know, our primary objective is to grow the network. But we will look for further opportunities to optimize, and we're doing that largely through relocations where we can find best sites.
Operator: [Operator Instructions] And your next question comes from the line of Charlie Campbell of Stifel.
Charlie Campbell: It's really just to sort of -- just flesh out the guidance a bit more. I mean I guess from the tone of what you're saying that sort of underlying performance broadly flat in the first half. And I guess you're sort of thinking about that for the second half, too. And therefore, kind of, sort of, flat operating performance for the full year, and we can add Alunet on top of that. But I guess there's a problem in there that you've got sort of more cost headwinds in the second half and maybe some of the cost savings to offset those come through next year rather than this year. So maybe just a bit of a help on that sort of train of thought, would be really helpful.
Michael Scott: Sure. Yes. The 2 analyst notes published this morning, which have a PBT for the year in the range of GBP 19 million to GBP 20 million. And I think that's a fair reflection of the revised guidance that we've set out today. You're right, Charlie, in that effectively what that represents is a flat organic performance in the second half, plus the benefit of Alunet and with some incremental interest and depreciation costs being offset by some of the cost savings. That would leave you at GBP 20 million at the top of the range. If we saw any deterioration against flat performance in the second half in the organic business, that would see us towards the bottom end of that range.
Charlie Campbell: [indiscernible]. And maybe just as a supplementary, I mean, it sort of seems to me that the picture you painted of Alunet is that there's some really quite strong growth going through there. You've signed up kind of more customers as a result. Just sort of wondering just kind of if the second half of Alunet is kind of stronger than the first in terms of the momentum that you're picking up?
Darren Waters: In terms of the numbers, it is a little bit stronger. So if you took the first half performance, which is 4 months' worth of trading and pro rata for 6 months, you'd get to about GBP 1.4 million. I think what we're looking for from Alunet in the second half is GBP 1.6 million. That's a number I'm giving to you after deducting the incremental interest costs. So yes, there is positive momentum in the Alunet business that mean we'll be a little bit ahead of the guidance that we gave for the business at the beginning of the year.
Operator: And this does conclude our Q&A session for today. I would like to hand back over to management for closing remarks.
Darren Waters: Operator, we've got Clyde Lewis in the room with us who I think have some questions.
Clyde Lewis: Yes, I think I've got 4. So I'll do one at a time. Market volumes, you indicated you were down 2%. What do you think market was in terms of volume? I don't know if you can split it, branch versus profiles, that would be helpful, but an overall number would be useful.
Darren Waters: Yes. Well, I think there's no kind of reliable stats that we can point to. But I think our evidence and the kind of intel that we're getting from, say, fabricators, particularly trade fabricators, new build fabricators are certainly up because of the uptick in housing activity. But trade and retail fabricators are certainly down. I would say, in the region of 5%, in my feeling. And I think the trade counters won't be far off that.
Clyde Lewis: E-commerce has obviously sort of delivered quite a big step change. Have your expectations and appetite, I suppose, to drive sales, I mean, with that sort of operating margin, I'd be pushing as hard as you possibly can. Clearly, you're not going to get all the trade customers, giving bigger margins. But how are you thinking about that route to market? And what you can do to increase it?
Darren Waters: Well, look, the, I suppose, the age profile of core customers, gets younger, then you would expect that medium to be -- to offer more and more potential. I mean I believe it's -- it will play a big part in the future of this business. I think we're leading in this channel in terms of the functionality of our website, and we're always improving that. We're also now starting to look for affiliate partners that will direct traffic to our website, customers that we wouldn't normally otherwise see. So yes, look, we want to go as fast as we can. We're acquiring more customers, as I say, the majority of which are trade customers, 2/3 of the new customers we get are trade, which is our core. And we launched the 1-hour Click & Collect last year, which, as you can see, is now almost 50% of sales. So I think we're doing all the right things, and yes, we will continue to develop that channel.
Clyde Lewis: Okay. As you're progressing through the ERP upgrade, how have your thoughts about how it can improve [Audio Gap] the performance of the business evolved? Have you got more excited? Or are you still sort of think, "Yes, we're on track to deliver those initial benefits"? Or has something altered?
Michael Scott: I'd say I don't think it's particularly changed through the project. But the place that's probably most excited by this is the Branch Network, where the SAP system we have at the moment has been heavily bespoked to try and make it a trade counter system, which it's not. And therefore, it's very [unwieldly] difficult to operate. And one of the reasons, I think, historically, we've had quite high labor turnover in the branches is that our systems have been difficult to operate. The teams that have been involved in the trials of the system in the network of the new system have been, I think, extremely impressed by what they've seen and recognize that this is going to make their life and the customers' life easier. So I think the biggest benefit of the whole thing will come through the network and using modern technology to support the branches. With the rest of the business and with IFS, again, Eurocell has grown up with all sorts of little bolt-ons and add-ons around the place, which because of the nature of the existing SAP system has resulted in workarounds and what I would think of as inefficient processes. And we're taking the opportunity through the implementation of IFS, to streamline our processes and standardize what we do. So I'm not sure everyone is jumping up and down for joy about that because it's quite difficult to manage that change. This is -- but this is how I do it. And getting people to accept that actually what we're going to do here is change our process to match the system rather than vice versa. But I think we, in finance, can be quite excited about that because it is going to result in a more efficient business, and that should provide opportunities for us.
Clyde Lewis: Alunet, I mean we touched on it briefly, but I mean, it's obviously -- yes -- that sort of 36% growth in revenue at Alunet, I mean in this industry, sort of unheard of at the moment. I mean -- and Charlie sort of touched on it briefly. But in terms of that sort of pace of growth, and I suppose sort of how important are converting the fabricators on PVC to use aluminum because they were using a different aluminum provided before, how far in that process are you through? And how important were the new products that were coming through? I suppose, trying to get a little bit more into the detail of what's driving that growth.
Darren Waters: Yes. I mean, look, the fact is we're probably just scratching the surface because there's around about 1,500 fabricators in the U.K., some of which are pure aluminum, and that still represents an opportunity because Alunet have significantly improved their product range with the launch of the new Window System. And therefore, you combine that with the Lantern Roof that we also launched, like I said, we've now got a full residential solution, which we didn't have previously. So I think, look, it's a very credible proposition, fewer components. And the key differentiator for Alunet is faster fabrication times because of fewer components and therefore, less waste and for the installer, quicker installation times. So it's a really compelling offer. And I think we will continue to acquire share as a result of that. It's a similar story in Comp Door because, again, it's all about a great product, great service that differentiates the business against its nearest competitor. And so look, we're excited. It's been a great start. still lots more opportunities ahead of us, and we'll continue to drive for them.
Clyde Lewis: Last one. I mean I've just [indiscernible] Grafton meeting, and they've got 2 U.K. businesses, Selco and Leyland, again, not seeing great market conditions and companies say, the "R" and "M" is fine, but "I" is -- the bit that's not happening at the moment. People are not committing to sort of carrying out those sort of projects at the moment, sort of, deferring it around consumer confidence. When you look at your business, what are you looking for, I suppose, in particular? Is it all the doors and windows because of fascia and soffit sort of upgrading and doing gathering. That's probably GBP 3 million, GBP 4 million -- GBP 3,000 or GBP 4,000 project, whereas sort of a Skypod is probably on the back of an extension, which is GBP15,000, GBP 20,000, GBP 25,000. So have you seen noticeable differences in terms of how different product categories have performed?
Darren Waters: I think it's back to what you said at the beginning. We need the "I". That's what drives the bulk of our business, whether it's profiles or indeed activity through the branches. The repair bit is distressed [indiscernible] purchase need to do it and probably as well as a bit of "M". But we need the "I", and that's the bit that's not happening. People are just deferring decisions on home improvements because of the lack of certainty.
Michael Scott: Okay. Operator, any more questions on the line?
Operator: There are no further questions on the phone line.
Michael Scott: I think we're done in the room, too.
Darren Waters: Great. Thanks for everyone who's attended this morning. We'll see you all again soon.
Operator: This does conclude today's conference call. Thank you all for joining us. You may now disconnect.